Operator: Good day, ladies and gentlemen and welcome to the Q1 2019 OrthoPediatrics Corp. Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Ms. Tram Bui of The Ruth Group. Ms. Bui, you may begin.
Tram Bui: Thanks, operator, and thanks everyone, for participating in today’s call. Joining me from the company are Mark Throdahl, Chief Executive Officer and Fred Hite, Chief Financial Officer. Before we begin, I would like to caution listeners that comments made by management during this conference call will include forward-looking statements within the meaning of federal securities laws, including the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve material risks and uncertainties, and the company’s actual results may differ materially. For a discussion of risk factors, I encourage you to review the company’s most annual report on Form 10-Q, which will be filed with the Securities and Exchange Commission later today. During the call today, management will also discuss certain non-GAAP financial measures, which are used as supplemental measures of performance. The company believes these measures provide useful information for investors in evaluating its operations period-over-period. For each non-GAAP financial measure referenced on this call, the company has included a reconciliation of the non-GAAP financial measures to the most directly comparable GAAP financial measures in its earnings release. Please note that non-GAAP financial measures have limitations as analytical tools and should not be considered in isolation or as a substitute for OrthoPediatrics financial results prepared in accordance with GAAP. In addition, the content of this conference call contains time-sensitive information that is accurate only as of the date of the live broadcast, May 9, 2019. Except as required by law the company undertakes no obligation to revise or update any statements to reflect events or circumstances that take place after the date of this call. With that said, I would like to turn the call over to Mark.
Mark Throdahl: Good morning, everyone and thank you for joining us today on our first quarter 2019 earnings conference call. We advanced with another quarter of systematic achievement and I am delighted to review our progress strengthening our leadership position in the pediatric orthopedic market. I will begin with a summary of our performance during the quarter and then run through the six growth initiatives that are contributing to our success. These include new products, increased set deployments conversion of international stocking distributors to sales agencies, clinical education, acquisitions and culture. I’ll then turn the call over to Fred for a more detailed financial review before inviting questions. We are pleased with the momentum we sustained in the first quarter of 2019 following a record setting 2018. We delivered first quarter year-over-year revenue growth of 21% or $14.7 million, which was driven by strength across all our business segments. Most notably, Scoliosis, which grew by an impressive 59% in the quarter, and international, which grew 28% in the face of very strong comparables last year. Trauma and Deformity correction also grew at double-digit levels despite a temporary slowdown in elective deformity surgeries throughout the United States, which Fred will discuss in more detail. Based on trauma and deformity’s strong start in April, we believe that this slowdown has ended and we are actively managing the impact of the inherent variability of surgical volumes through continued diversification and expansion of our surgeon base and product scope. We are also pleased with the favorable sales impact of recent product launches. This performance keeps us on track to achieve our full year 2019 revenue guidance of 21% to 23% growth and to sustain our 10-year record of consistent 20% plus annual sales growth. We also remain on track to increase our annual investment in consignment sets to $15 million to $17 million. $2.7 million of new instrument implant sets were consigned during the first quarter and Fred will provide more detail on the significantly greater scope of deployments in the second quarter as we prepare for the surge in elective surgeries during the summer. Additionally, we expanded our international presence to 41 countries and converted two more Western European countries to the sales agency model. To support our growing product offering and physician base in this country, our domestic sales organization also grew by 7 additional sales consultants hired in the first quarter bringing the size of our domestic sales organization to 138 sales representatives. This number is 20% higher than it was a year ago and keeps our selling organization at the right level to support our sales goals. Rounding out our performance in the quarter was a 37% improvement in EBITDA, which Fred will touch on later. You may recall that our philosophy is to make systematic improvements to profitability as we continue to focus on top line revenue growth. In summary, I believe that our success continues to be a function of focus. A focused company will always win regardless of size and all our achievements are the product of our exclusive focus on advancing the field of pediatric orthopedics through innovative new products, industry leading education programs and a culture grounded in transforming the lives of children with orthopedic conditions. Let me now run through our six growth initiatives starting with new products. Our strategy centers around surrounding our customers with all the surgical systems they use and thus our commitment to advancing the field of pediatric orthopedics begins with introducing innovative new products to an underserved market. In February, we launched the BandLoc DUO, 5.5/6.0 millimeter system. We remain optimistic about its potential based on early physician feedback, which echoes the enthusiastic response we continue to receive on our PNP Femur and small stature scoliosis systems, both of which launched in the second half of 2018. The superiority of these three new products was reflected in their sales impact on our first quarter performance. We anticipate introducing a number of other new systems later this year, including our new PMP Tibia, neuromuscular scoliosis and osteogenesis imperfecta systems, all with similar timelines for revenue contribution. We also recently submitted to the FDA the 510(k) for our new cannulated screw system and also for our PediFoot system. PediFoot will be the first pediatric specific system for addressing four of the most common foot deformities in children. In addition to our highly productive internal product development programs, we continue to be approached with compelling technologies that we can license or acquire. One example is our recently announced licensing agreement with CoorsTek Medical for rights to its variable angle technology, which will utilize in our PediFoot and future trauma and deformity correction systems. This innovative technology called StarLoc delivers 5 points of fixation between the screw and the corresponding plate implant. It accepts both locking and non-locking screws and provides up to 30 degrees of conical freedom. As we look ahead, we are confident that we can sustain an aggressive cadence of new product introductions and we look forward to updating you as we progress further. Our second growth initiative is increasing children’s access to our systems through more instrument set deployments. The $2.7 million consigned in Q1 represents the first stage of a major deployment of sets in the first half of the year as we prepare for the summer surge in elective deformity and scoliosis surgeries. This year’s anticipated investment in consigned sets of $15 million to $17 million compares to $12 million consigned last year and represents a quadrupling of our annual average investment in the years prior to our IPO in 2017. Our third growth initiative is converting international stocking distributors to sales agencies. As we increase our investment in set consignments, we continue to convert select stocking distributors to our sales agency model in order to accelerate penetration of international markets and also improve our gross margin profile. In January, we converted Belgium and The Netherlands, which bring us to a total of 7 country conversions since we became a public company in late 2017. The growth impact of the earliest conversions in the UK, Ireland and Australia, New Zealand has been very significant and we look forward to garnering similar benefits from more recently converted markets. One reason these conversions have been so successful is that they are made without any personnel changes and thus did disrupt relationships with our surgeon customers. We are continuing systematic work to convert several larger Western European markets. OrthoPediatrics now services 41 countries with 35 stocking distributors and 7 sales agencies and we are proud of our broad international reach, which is unusual for a company of our size. Our fourth growth initiative is clinical education. As we have stressed in the past, our surgeon customers believe that OrthoPediatrics clinical education programs are as important as our products. These programs are central to our positioning as the company that wants to do more than just so more products to surgeons. In the first quarter, we again sponsored the 5th International Children’s Spine Symposium in Orlando, a program we funded through our contributions to the OrthoPediatrics Foundation for Education and Research. This multiple day cadaver-based program again drew an acclaimed international faculty and was filled with young surgeons who could stand side by side performing surgical procedures with some of the most eminent pediatric orthopedic specialists in the world. In April, we were the lead sponsor of the Annual Meeting of the European Pediatric Orthopedic Society or EPOS, where we organized a symposium entitled Challenges in Developmental Dysplasia of the Hip, are we making progress? The symposium featured 4 speakers, including the past, present and future presidents of EPOS. The case presentations and discussions covered challenges in diagnosing developmental dislocations of the hip, including general neonatal ultrasound screening, timing of open reduction procedures and the use of triple pelvic in periacetabular osteotomies. More than 300 surgeons were in attendance and we were delighted to sponsor such a significant clinical education event specifically aligned with our company’s focus. Our fifth growth initiative is acquisitions. As a reminder, we raised $43 million in December through a follow-on stock offering, which well positions us to take advantage of some 30 acquisition opportunities that have come to us since the IPO. While most of these opportunities are bolt-on acquisitions of novel products with minimal integration risk, some may be transformational. We believe these opportunities have the potential to augment our internal product development programs and can significantly enhance our competitive position. The final growth initiative is the one we consider the most important, culture. Employee satisfaction is directly correlated with customer satisfaction and shareholder returns. 2019 marks the third year that OrthoPediatrics has been recognized as one of the best places to work in Indiana. This program is organized by the Indiana Chamber of Commerce, which surveys employees at thousands of Indiana companies and the Top 100 are recognized as the best places to work. We are the only company in the Warsaw area to receive this designation and it is consistent with the engagement we saw at our all associates meeting in January, which I described during our last earnings call. Recognition for 3 years as one of the Best Places to Work furthers our aspiration to become the Employer of Choice in the orthopedic industry. It is evidence of our culture of engagement, where the only hierarchy is the hierarchy of good ideas, which come from every player in the organization. A company’s culture is its most critical asset. It cannot be reproduced and it is OrthoPediatrics’ secret sauce. With that, let me turn the call over to Fred to review our financial results. Fred?
Fred Hite: Great. Thanks Mark. Total revenue in the first quarter of 2019 was $14.7 million, up 21% compared to $12.1 million for the same period in 2018. U.S. revenue in the first quarter of 2019 increased 19% to $10.3 million when compared to $8.7 million in the same period last year representing 70% of total revenue. International revenue in the first quarter of 2019 was $4.4 million, a 28% increase compared to $3.4 million in the same period last year, representing 30% of our total revenue. Our first quarter revenue breakdown by product category was as follows. Trauma and deformity revenue in the first quarter 2019 was $10.0 million, a 10% increase when compared to $9.1 million in the same period last year. This included significant contributions from our PNP Femur, slightly offset by a slowdown in elective surgeries, Mark mentioned earlier. The slowdown has been confirmed by surgeons, hospitals and our sales agents and may have been impacted by the extraordinary cold weather, prolonged flu season in many parts of the country as well as high volume KOLs extended trips away. We are pleased that this trend did not continue in April as we saw a very strong start to the second quarter in our deformity correction business. Scoliosis revenue in the first quarter of 2019 was $4.3 million, a 59% increase compared to $2.7 million in the same period last year driven by innovative products, including our small stature 4.5/5.0 millimeter response system launched in the fourth quarter of 2018 and our BandLoc DUO launched in the first quarter of 2019 as well as continued product acceptance and customer adoption. Lastly, sports medicine/other revenue in the first quarter of 2019 was $381,000, representing a 33% increase when compared to $286,000 in the same period last year. Nearly all of our revenue growth continued to be driven by an increase in unit volumes. Moving down the income statement, gross profit in the first quarter of 2019 was $10.7 million, a 19% increase compared to $8.9 million in the same period last year. Gross margin in the first quarter of 2019 was 72.7% compared to 73.7% in the first quarter of 2018. The decrease was attributable to a higher scrap recorded as we moved into our new expanded warehouse in January of 2019, the mix of product sales as well as a higher percentage of sales coming from our international business at lower gross margins. Sales and marketing expenses in the first quarter of 2019 increased 8% to $6.5 million when compared to $6.1 million in the same period last year. This was driven by an increase in unit volume and associated commissions in the U.S., the additional commissions being paid in the international markets that we transitioned to the agency model and ongoing marketing expenses. General and administrative expenses in the first quarter of 2019 were $5.6 million, a decrease of 7% compared to $6.0 million in the first quarter of 2018. The decrease in expenses was driven by $1.7 million in lower restricted stock expense related to our IPO that is non-recurring, partially offset by higher employee related expenses as well as quality and regulatory consulting fees. Research and development expenses of $1.2 million in the first quarter of 2019 which was in line when compared to the same period last year. Total operating expenses in the first quarter of 2019 were $13.4 million compared to $13.3 million for the same period last year. The slight increase in operating expenses was driven by $1.7 million in lower restricted stock expense related to our IPO that is non-recurring, partially offset by higher employee related expenses as well as quality and regulatory consulting fees. Operating loss in the first quarter of 2019 decreased 38% to $2.7 million compared to a loss of $4.4 million in the first quarter of 2018 driven by higher revenue and gross margin as well as the $1.7 million restricted stock expense related to our IPO that was non-recurring. Adjusted EBITDA for the first quarter of 2019 increased $277,000 to a negative $469,000 compared to a negative $746,000 for the first quarter of 2018. This included unusual professional fees as onetime legal expenses as well as regulatory consulting and M&A fees. The last two categories are new additions and while we anticipate more fees throughout the year that were not there last year and should not repeat next year. Interest expense in the first quarter of 2019 was $303,000, a 45% decrease compared to $552,000 in the same period last year. The decrease in interest expense was due to incremental interest income generated on our cash balance during 2018. Net loss in the first quarter of 2019 decreased 40% to $3.0 million compared to a net loss of $5.0 million in the same period last year. Net loss per share attributable to common stockholders in the first quarter of 2019 was $0.21 per basic and diluted share compared to $0.41 per basic and diluted share in the same period last year. Turning to our balance sheet, as of March 31, 2019, our cash balance was $52.8 million compared to $60.7 million as of December 31, 2018. Purchases of property and equipment during the first quarter of 2019 were $5.0 million a 79% increase compared to $2.8 million during the same period last year and reflects an increase in construction and process, which includes partial sets waiting to be deployed. Including the implants, $2.7 million of consigned sets were deployed during the quarter compared to $5.5 million during the first quarter of 2018. As Mark mentioned, this is the first stage of a significant deployment of new sets and keeps us on track to achieve our strategic plans for the year. We are very pleased with early second quarter launch of two about $3.1 million of sets with more to come in the near future. As of March 31, 2019, total debt was $21.3 million with our entire $15.0 million line of credit available to us. As a reminder, our term note as well as our line of credit don’t expire until January of 2023. In terms of guidance, we are happy to reiterate the 21% to 23% annual revenue growth for 2019. Additionally, we may remain on track to increase our annual investment in consigned sets to a range of $15 million to $17 million in 2019. Let me now turn the call back over to Mark for additional Q&A.
Mark Throdahl: Thanks, Fred. So, to conclude, we’re pleased with our start to 2019. We remain confident that the systematic execution of our 6 strategic initiatives will allow us to achieve annual revenue growth of 21% to 23% this year and maintain our 10-year track record of 20% plus growth. With increasing investments in product development, consigned sets, international distributor, conversions, clinical education program, acquisitions and development of our culture, we anticipate continuing to strengthen our competitive position. Finally, and most importantly, I’d like to thank all of our associates whose engagement and hard work make possible our success in everything. So, with that, I’d now like to open the call up for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Rick Wise of Stifel. You may proceed with your question.
Drew Ranieri: Hi Mark and Fred. It’s Drew Ranieri on for Rick. Thanks for taking our question. But just to start with scoliosis growth, it continues to just be impressive and consistently beating our projections. But just after delivering nearly 60% growth in this quarter, where do you go from here, especially with the small stature system launch and BandLoc? How sustainable is scoliosis’ growth rate at this point?
Mark Throdahl: Well, Drew, I don’t think we consider 59% to be necessarily something we’re going to forecast, but we certainly continue to see a red-hot scoliosis business, and so projections growth projections on that remain extremely robust. I think in a nutshell, we have a classic synergy going on here between the large RESPONSE system, the new small stature system, which initially is being targeted at current RESPONSE accounts, the BandLoc system, which complements that, all then sort of turbocharged by the FIREFLY alternative to a robotic navigation. And it’s interesting how these products complement one another. And I would argue that is why this growth rate is so impressive. A final element of that may be that there remains considerable lack of focus by some of the major scoliosis companies on developing new scoliosis products, whereas we are working in spinal tethering, we’re working on a growing scoliosis system, we have surgeon teams that are themselves composed of large volume surgeons who are involved in those efforts and they recognize our commitment to advancing the future of spine surgery in children.
Drew Ranieri: And then just to drill down a little bit more in small stature. I know that just from our channel checks, there’s been a lot of interest in getting the system to market. But just curious, can you talk about the roll out on what you’re seeing? And appreciate that it’s still early, but are you seeing that you are now able to get into more of the challenging accounts that you couldn’t before? And are you seeing kind of your existing spine accounts now fully switching to OrthoPediatrics?
Mark Throdahl: It’s a great question. We launched that in December with a limited number of sets. We’re very pleased to roll out additional sets here in 2019, so that helps. So, it had somewhat of a limited access in the first quarter of 2019. But we’re very excited about the receptive reaction from the surgeons, who got access to it and we’re going to continue to expand the sets of that product to enable other surgeons to have access to it. It is what we thought it was going to be, which is getting the additional 20% of surgeries from the surgeons that are using it, and then that last piece of the puzzle, to work on converting larger surgeons to our entire product line.
Drew Ranieri: And then just one last one, Mark, you called out trying to reduce variability in surgical volumes. I just want to hone in on that a little bit and I believe pediatric orthopedics generally are procedures are concentrated at some U.S. hospitals. But can you maybe talk a little bit more in depth about your growth opportunities ahead for adding new accounts? And then just more adding more surgeons at existing accounts, just as you look over maybe the next 12 months, maybe what’s the bigger of the two of those growth components?
Mark Throdahl: Well, Drew, in fact, Fred and I are here in Chicago with our sales agents here in the United States who account for about 67% of our sales last year and it is interesting how many of them speak to this continued expansion that we are seeing at hospitals where we now sell something, but have an opportunity to sell more. We just had a team up at Boston Children’s, which had witnessed a dramatic expansion of revenues because more and more surgeons there are adopting OrthoPediatrics products in the trauma deformity area. So, I think that surgeon expansion is certainly something that we see very tangibly occurring now, and it is complemented by product expansion as well by the number of new systems that we’re launching, by the ability to get more and more deployed sets out in the hands of our surgeons. And I’m not sure I would point to any one of these as the key growth driver. I think again, it’s a synergy of more systems, more products and more surgeons. Fred, would you want to amplify on that?
Fred Hite: No, I completely agree. It’s all of the above, which we think is one of the strengths of the business model.
Drew Ranieri: Great. Thank you for taking the question.
Mark Throdahl: Thanks Drew.
Operator: Thank you. And our next question comes from Matthew O’Brien of Piper Jaffray. You may proceed with your question.
Will Inglis: Great. Thanks for taking questions. This is Will on for Matt. I guess the first question would be if I could just get a finer point on the slowdown in trauma and deformity. It sounds like there you know, the weather, flu season, some possible travel that disrupted those volumes. But anything else that would make us believe or confident that volumes will be stronger in the second quarter and that there’s nothing structurally going on with that particular market?
Mark Throdahl: Yes, well, I mean, that’s something that we have – is a question we’ve been all over in analyzing what’s going on here. There is no evidence that we have lost cases, no evidence we have lost customers, no evidence that there is any heightened competitive activity that’s going on in the marketplace. And it is interesting and was confirmed by just casual conversations yesterday with some of our sales agencies. One guy I was talking to from the South was saying that some of his hospitals were actually sending home surgical staff early in the day, because there were a number of cancellations of these elective deformity correction procedures. Here in this country, we saw a very robust domestic trauma growth well in excess of 20%, but deformity correction grew only slightly, I think about 6% in the United States. And so, while no one reports ironclad explanations for this, we can point to extraordinarily cold weather early in the quarter, which would have caused discretionary elective surgeries to be canceled. You can’t operate on people who have the flu, and there was a very long flu season. And so that’s about all we can explain. But whatever the explanation, I think the key point is that April has been very robust in terms of elective deformity correction procedures as well as trauma, and so it appears that this variability has ended.
Will Inglis: Well, that’s great to hear. And I guess building off of that, you didn’t see any volume disruptions on the spine side or did you?
Mark Throdahl: Not as many. There were some, but really minor compared to the deformity correction that we include with our trauma sales. Why that would be? I don’t think I have an explanation. Probably is a function of the much greater number of elective deformity cases that we would do in any given year – quarter as opposed to scoliosis cases, which as you know, in the first quarter is at a lower level than it would be during the summer time.
Will Inglis: Absolutely. And if I could squeeze one more in, $2.5 million [ph] you deployed during the first quarter, was that by design or were there some timing issues that came up with launching new sets, because I guess that implies obviously a pretty big – further of launching new sets, because I guess that implies obviously a pretty big further investment in the second quarter. So, just curious if that was by design or if those sets kind of pushed into the second quarter, which I think it was PNP Femur and further set rollout? Thanks.
Mark Throdahl: Yes, great question, Will. So, we deployed $2.7 million in the first quarter, that was lower than what we expected to. But also of note, on the balance sheet, you’ll notice that the PP&E number went up by $5 million and inventory on top of that went up another $3 million. So, we had a lot of partial sets come in and we were waiting on 1 or 2 key instruments from some of our suppliers that was delayed and so that did delay some of our product launches that we wanted to send out in the first quarter in March that rolled into April. And so it delayed things by maybe 30 days or so. So, while we wanted to get those sets deployed in March, many of them went out in April instead. So, we’re caught up from what we expected in the first quarter and then we’ve got another, as you said, large set roll-out happening in the second quarter, which will be going out here before the summer selling season.
Will Inglis: Great to hear. Thank you.
Mark Throdahl: Thanks Will.
Operator: Thank you. And our next question comes from Ryan Zimmerman of BTIG. You may proceed with your question.
Ryan Zimmerman: Thank you and good morning.
Mark Throdahl: Hey, Ryan.
Fred Hite: Hi, Ryan.
Ryan Zimmerman: Good morning. I want to just follow-up on the slowdown. I appreciate the reasons you gave. Should we think though that it sounds like April starting off very strong. Do you think you are going to see a more pronounced seasonality so to speak in the Q2 and the Q3 or do you think you’re making up most of this volume specifically in Q2 just given the pace you’re kind of moving at in April? And then I have a follow-up. Thank you.
Mark Throdahl: Well, Ryan, I don’t have a clear answer to that question. Obviously, we are hopeful that we make all of this up. I think that as we look at the robust pace in April and the projection for the second quarter, it looks very robust indeed. As you know, our first quarters are only 21% to 22% of the annual sales total and that’s been the case for what 5 years, Fred?
Fred Hite: That’s right.
Mark Throdahl: Going back. So, I don’t think we’re all concerned by what happened in Q1. In fact, I think we’re quite pleased that we were able to manage this temporary slowdown, as well as we did in the quarter. So, it’s full steam ahead in terms of the 21% to 23% guidance we’ve given for the year.
Ryan Zimmerman: Sure. Appreciate that commentary, Mark. And then two quick ones for me, just can you remind us kind of your conversion plan this year internationally or maybe kind of the amount that you’re thinking in terms of international conversion that can help allay some of the softness we saw in the gross margins this quarter from stocking?
Mark Throdahl: Well, we are hard at work at two of the larger Western European markets, which we think could be as impactful as the conversion in the UK, which took place, that was that – at the ahead of the conversion list. Fred, as to the financial impact that might have this year, I’m far less clear. Do you have any thoughts on that?
Fred Hite: Well, we’re only – I don’t know, 25% to 28% of our international revenue right now are going through these agencies. And so that number can continue to grow in 2 aspects. Number one, as we deploy more and more sets to those locations, which we did in 2018 and we have more sets going to them here in ‘19, that additional deployment will enable us to grow faster in those locations and those gross – higher gross margins in our stocking distributors will help the overall gross margin of the business. And then the second point is additional conversions of additional countries particularly in Europe, which we are working on and should happen yet this year will have an additional favorable impact on the gross margin. And Ryan, as you look back in 2018, you’ll see the gross margin is higher in the second and third quarter and then it’s softer in the first and the fourth quarter, and a lot of that’s just driven by the mix. I mean, the domestic volume given the summer selling season is so much higher in the second and third quarter, it drives those gross margins up pretty dramatically. And so we would expect to see that same trend in 2019 as we did back last year.
Ryan Zimmerman: Very helpful. And then last one for me and I’ll hop back in queue. POSNA next week I think in Charlotte, anything we should be on the lookout for or anything that you want to give us a little preview of ahead of the conference? Thank you guys for taking the questions.
Mark Throdahl: Thanks, Ryan. No, I think we’re looking into POSNA as being even bigger and better. In fact, we’re sending an even bigger army to that than we normally do. We’re reaching the point that I worry about the society beginning to limit our numbers, because we do tend to dominate it as you know by your attendance. We’re doing a number of symposiums and training sessions as we do year-by-year. I think that it promises to be an extremely good show. So, it really will be more of the same.
Ryan Zimmerman: Wonderful. Good to hear. Look forward to it. Thanks, guys.
Mark Throdahl: Thanks, Ryan.
Operator: Thank you. And our next question comes from Margaret Kaczor of William Blair. You may proceed with your question.
Margaret Kaczor: Hey, good morning, guys. Thanks for taking the questions. Maybe the first one for me is a follow up on the OUS market and kind of the drivers of growth within that this last quarter was maybe a little bit higher than we expected. So how much of that was driven maybe by those new sets, some of the conversion of distributors to agency and so on?
Fred Hite: Yes, absolutely. So, we’re very pleased with the continued aggressive growth that we’re seeing in those countries we converted, Australia, New Zealand, as well as the UK and Ireland, and we did add a little bit in with Belgium and Netherlands as we converted that in the first part of this year. But by deploying more sets in 2018, it’s aggressively ramping up the growth of those countries, which is just tremendous to see. So, we saw aggressive growth there and then we also saw growth in our stocking distributors albeit not as much as the agencies. And that really is impressive on top of the 42% growth that we saw in our international business in the first quarter of last year. So, very pleased to say the least with the performance of that team.
Mark Throdahl: My take on this thing, Margaret, would be that we again saw in the first quarter the value of this conversion to sales agencies in terms of our ability to ramp up the pace of penetrating these markets. The growth in Australia was remarkable. And last year, we saw equally robust growth in the UK and this would never have happened unless we had effected these conversions, where we can pace the degree of set consignments and work with our sales agency on [Technical Difficulty].
Margaret Kaczor: [Technical Difficulty] throughout the year keeping on that topic, how should we think about international either as a percent of growth related within guidance or as a percentage of total sales?
Fred Hite: Yes, I think as we said on the last call, we do continue to expect the international business to grow slightly faster than the domestic. With these additional conversions, there’s definitely a boost that it gets in the year and there is just demand wherever we go, which is tremendous to see. So, particularly if we do some of those conversions later in this year, it is tremendous to see. So, particularly if we do some of those conversions later in this year, it could boost it in the third or maybe fourth quarter of this year. But overall, we see robust demand everywhere we go. So, we’re very excited about that continuing and it’ll probably outpace the overall growth of the company slightly in 2019.
Margaret Kaczor: Okay. And then maybe last one for me. In terms of rep hires continuing to move forward on an overall basis. Maybe you can give us some guidance over how we should view that throughout the rest of the year, maybe how things have laid out over the last 6 months and how that maybe compares within the agency model versus otherwise? Thanks.
Mark Throdahl: Well, I think that the headline here is that we would expect the selling organization to be growing at least as fast as revenues throughout the year. But in any given quarter, it’s going to be lumpy. I think we’ve said in the past that we are right now at work with all 33 of our domestic sales agencies on a scaling strategy that would enable them to anticipate the kind of growth in the sales force required to keep up with the growth of our company, as well as the continued expansion of products, both in the scoliosis and the trauma and deformity field together with the potential of laying in acquisitions, which would be additive to that. And those discussions are ongoing. But I’m delighted to report that we have a highly motivated group of sales agencies in this country, who are very eager to expand their sales forces as they keep up with us and as they increase their focus on OrthoPediatrics.
Margaret Kaczor: Great. Thanks so much.
Mark Throdahl: Thank you, Margaret.
Operator: Thank you. [Operator Instructions] Our next question comes from Rick Wise of Stifel. You may proceed with your question.
Drew Ranieri: Hi, guys. Just a follow-up question. Just in terms of the trauma and deformity slowness that you saw in the quarter, and I am sorry, if I missed this, but did you quantify that impact? Just considering that it’s been growing in the 20% range, should we kind of think about that as maybe $1 million to $2 million impact on your top-line for the first quarter?
Mark Throdahl: Yes, it definitely was slower within that. The 10% [Technical Difficulty] there was two – there was a slow [Technical Difficulty] is made up of two pieces. So, the domestic T&D growth was actually higher than that, but it was pulled down a bit by the international growth, which was much, much lower. And if you remember that 42% growth last year, a lot of that was set sales and a lot of that was on the trauma and deformity side. So, while the overall 10% is lower than expected, the domestic wasn’t quite as bad as we had – as it implies, I guess, with that 10% growth. But no, we did not quantify exactly how much that impacted the revenue, but it’s probably in the $1 million range.
Drew Ranieri: Okay, great. Thank you.
Mark Throdahl: Thanks Drew.
Operator: Thank you. And our next question comes from David Turkaly of JMP Securities. You may proceed with your question.
David Turkaly: So, I will just squeeze one real quick one in here at the end, but you mentioned about your new products PediFoot and then the CoorsTek Medical screw. I was wondering, I know you’re kind of more about singles and doubles than home runs. But is there any way to sort of size out some of the opportunities on the new products? Is there any one that you’d highlight as potentially being needle moving versus the [Technical Difficulty]?
Mark Throdahl: Hey, Dave. That’s a great question. I think we would view PediFoot as a real needle mover this year just as we would see this year the dramatic impact of PNP Femur. And I think we probably throw the small stature in as well because of its potentiating impact on our whole scoliosis franchise. So, I think those three, PediFoot, PNP Femur and the small stature system launched last December.
David Turkaly: Thank you.
Mark Throdahl: Thank you, Dave.
Operator: Thank you. And I’m not showing any further questions at this time. I would now like to turn the call back over to Mark Throdahl for any further remarks.
Mark Throdahl: Yes, thanks very much. Well, just one final comment and that is that I think as we look at the quarter, we feel that progress is of course measured in sales growth, but it’s also more than that. It’s a function of systematic execution across multiple growth initiatives and it’s a function of rigorous focus. So, I’d like to thank you for your interest in OrthoPediatrics, as well as your interest in our cause of transforming the lives of kids with orthopedic conditions.
Operator: Thank you. Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program and you may all disconnect. Everyone have a wonderful day.